Operator: Greetings and welcome to the LSB Industries Fourth Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Fred Bonacor, Vice President of Investor Relations.
Fred Bonacor: Good morning, everyone. Joining me today are Mark Behrman, our Chief Executive Officer; and Cheryl Maguire, our Chief Financial Officer. Please note that today's call will include forward-looking statements, and because the statements are based on the company's current intent, expectations and projections, they are not guarantees of future performance and a variety of factors could cause the actual results to differ materially. As this call will include references to non-GAAP results, please see the press release in the Investors section of our website, lsbindustries.com for further information regarding forward-looking statements and reconciliations of non-GAAP results to GAAP results. At this time, I'd like to go ahead and turn the call over to Mark.
Mark Behrman: Thank you, Fred. We're happy to have the opportunity to speak with you today about our 2022 full year and fourth quarter results and our outlook for the first quarter and full year of 2023. 2022 was a pivotal year in our company's history. We delivered record financial results with year-over-year increases in sales and adjusted EBITDA of 62% and 117% respectively. We generated strong cash flow a significant portion of which we return to our shareholders through share repurchases while at the same time substantially improving our balance sheet. Our strong performance reflects the favorable trends in selling prices across all of our products coupled with our ability to operate our facilities reliably and sell all of our production at attractive margins, thanks to our strategic commercial efforts. Additionally, we completed major turnarounds at two of our facilities to further improve their safety and reliability. In a major step towards becoming a leader in the emerging clean energy industry, we signed agreements to begin development of low carbon and no carbon ammonia projects at two of our facilities. I'd like to thank all of our employees for making this another excellent quarter and for their commitment to developing a culture of excellence at LSB Industries. Our team put together – put – our team put in a great deal of hard work and dedication in the years leading up to 2022, which put us in a position to have a successful year. While strong financial results are very important, our primary focus is safety. One of our core values is to protect what matters, where we strive consistently to protect the health and well-being of our employees, contractors, communities in which we operate in the environment. We've set very high safety standards, policies and procedures aimed at achieving our goal zero that zero recordable incidents and injuries. While we have made progress towards this goal in recent years, we still have much work to do to get where we want to be. We expect that investments we've made in our facilities in 2022 and we will make in 2023, will help us make meaningful strides with respect to operating safely in the coming quarters and years. Looking at the 2022 fourth quarter, as summarized on Page three of our presentation, we generated strong year-over-year growth aided by a continued favorable pricing environment and solid execution. Notably, we delivered these results despite having had prior turnaround during the early part of the quarter and the impact of freezing weather on our Cherokee and El Dorado facilities in the final week of December. On Page 4 of our presentation, we provide an overview of our end markets. Corn prices remain above multiyear averages, driven by a variety of global factors including drought conditions in the US and parts of South America and continued strong global demand. Domestic and worldwide stock-to-use ratios for corn remain at multiyear lows leading us to believe that it will take two to three years of good corn growing seasons to bring the stock-to-use ratios back in line with historical averages. We expect corn prices will stay near current high levels through 2023 and that farm profitability will remain attractive, pointing to an increase in planted acres this spring versus last year. The USDA estimates that an approximately 89 million acres of corn were planted in 2022 and that approximately 92 million to 93 million acres will be planted this year. This supports the view that nitrogen fertilizers will be in strong demand once the planting season gets underway in the coming weeks. It is also expected that there will be an increase in wheat acres planted in 2023, further increasing demand for nitrogen fertilizers. With respect to our industrial products, on the whole, demand remains stable. Domestic end-use markets continue to be stronger than those in Europe and Asia, which is supportive for our business. While inflation and other economic pressures are impacting some parts of the chemical manufacturing industry, mining activity remains strong and we see that continuing throughout this year. Additionally, recent announcements from automotive manufacturers and suppliers indicate that some degree of improvement in auto production could unfold during 2023, further supporting demand for the nitric acid that we produce. While pricing for nitrogen products has come down in recent months largely due to a decline in European natural gas prices, demand trends continue to be solid across our business and pricing remains above historical averages. With no turnaround scheduled at our facilities this year, we are well positioned for a strong year-over-year increase in production and sales volume. As such, we expect another year of robust profitability and cash flow. Now, I'll turn over the call to Cheryl, who will discuss our Q4 results and outlook. Cheryl?
Cheryl Maguire: Thanks Mark, and good morning. Our fourth quarter adjusted EBITDA of $105 million is a record performance for us in the fourth quarter. Additionally, we generated adjusted EPS of $0.90 in the quarter. Turning to page 5, you'll see a summary of our key balance sheet and cash flow metrics. Our continued profitability enabled us to maintain a strong liquidity position. At the end of 2022, we had approximately $458 million of total liquidity, including approximately $394 million in cash and short-term investments. This is after we repurchased approximately 13.2 million shares of our stock at an average price of approximately $13 per share, exhausting the $175 million share repurchase program that we began in May of 2022. As of the 13.2 million shares, we bought back nine million shares from our largest stockholder, who completed secondary offerings of a portion of their position in our stock in August and November of 2022. Through these transactions, we were able to reduce our shares outstanding by approximately 15%, while at the same time increasing the trading liquidity of our stock. During 2022, we generated cash flow from operations of $346 million and had capital expenditures of $46 million, translating into $300 million of free cash flow. For the year, we returned approximately 60% of our free cash flow to investors through our share repurchase program. Additionally, we ended the year with a net debt to trailing 12-month EBITDA leverage ratio of less than one time, well below our target leverage ratio in a mid-cycle or normalized pricing environment of below 2.5 times. Page 6 bridges our fourth quarter adjusted EBITDA of $105 million to adjusted EBITDA for the fourth quarter 2021 of $90 million. The positive selling price impact is shown net of increased variable costs versus the fourth quarter of 2021. Sales volumes were lower in the fourth quarter as a result of planned turnaround activity at our prior facility, which concluded in mid-October and the loss of approximately one week of production in the fourth quarter at our Cherokee and El Dorado facilities, due to the impact of freezing cold weather in late December. Page 7 illustrates the strong bottom line improvement we've delivered over the past several years. This is the result of favorable pricing trends, operational improvements, new customer contracts and investments we've made to optimize our product distribution and mix. While we anticipate 2023 EBITDA will be lower than 2022, as a result of nitrogen pricing moderating off of peak levels we still expect to generate substantial profit and cash flow, further positioning us to implement our growth strategy, which Mark will discuss later in the call. Looking at the first quarter, the Nola UAN benchmark pricing is currently at approximately $265 a tonne. Additionally, the Tampa ammonia benchmark price settled at $790 per metric ton in February versus $1,135 per metric ton last February. The year-over-year change largely reflects lower natural gas prices in Europe, which have come down from very high levels in 2022 and industrial demand softening in Europe and Asia. With that said, US natural gas prices have also declined and currently stand at a fraction of the cost in Europe, keeping intact the competitive advantage that US nitrogen producers enjoy. Relative to our natural gas feedstock cost, while US gas costs have since moderated, we do have approximately 75% of our first quarter gas needs locked in at approximately $6.30 per MMBtu for Q1. With respect to sales volumes, as previously announced, our Cherokee facility resumed production with a Phase 3 start on January 14, 2023. The despite lower production at that site in January and the delayed movement of fertilizer resulting in volumes moving to the second quarter, we expect overall higher sales volumes of ammonia and UAN as compared to the first quarter of 2022, assuming reasonable weather conditions. Additionally, nitric acid and AN volumes are expected to be in line with the healthy first quarter of 2022. So given our view on sales volumes and pricing, locked-in natural gas costs and the approximately $10 million impact from the Cherokee freeze event that impacted production through mid-January, we would expect the first quarter adjusted EBITDA to be in the range of $55 million to $65 million. Please keep in mind, our expected EBITDA range for the quarter is based on our current view of pricing. Looking forward to the balance of the year, we provide considerations for our full year 2023 on Slides 8 and 9. On Slide 8, you can see our expected ammonia production and sales volumes for the full year of 2023. As a result of expected improvement in operating rates, due in part to our turnarounds at El Dorado and Pryor in 2022 and the absence of any turnarounds in 2023, we expect meaningful year-over-year improvement in ammonia production as well as all of our downstream products. We expect to invest approximately $60 million to $80 million of CapEx in our facilities during 2023. This includes approximately $50 million to $60 million of investments related to plant reliability and safety with the balance earmarked for margin enhancement projects aimed at improving the efficiency of our operations, expanding our commercial footprint and investing in storage and loading capabilities at our facilities. Slide 9 covers a range of variable and fixed plant expenses as well as SG&A for 2023. Our expectations for fixed costs reflect investments we've made in key talent to support our growth as well as inflation in wages and other costs. Note, that we expect our effective tax rate for the year to be approximately 25%. However, we do not expect to be a material cash taxpayer in 2023 as we continue to utilize our NOLs. And now I'll turn it back over to Mark. 
Mark Behrman: Thank you, Cheryl. As Cheryl indicated, natural gas prices have come down significantly in recent months, which has led to lower albeit still historically strong selling prices for our products. Page 10 illustrates how the spread between US and European natural gas prices widened over the course of 2021 and continue to be volatile throughout 2022. The spike in European natural gas costs during the third quarter of 2022 resulted in many European nitrogen facilities being taken offline. Much of this production has come back online, as prices for European natural gas trended lower due to warmer-than-average winter temperatures and lower industrial demand. Still natural gas prices in Europe remain well above 10-year averages and are currently fluctuating between $15 and $20 in MMBtu equivalent, which is a multiple of what we're paying for in the US. The current gas price level in Europe translates into an ammonia production cost on average of approximately $600 per ton and European ammonia production costs will likely continue to be significantly above domestic costs, continuing to provide a substantial advantage to US nitrogen producers. For the year, we expect a continued favorable nitrogen pricing environment relative to the past decade. We also have several company-specific initiatives that are very much in our control, representing the opportunity to enhance our efficiency, increase our production capacity and enter the emerging clean energy market. We expect these opportunities will allow us to increase our profitability, ultimately resulting in increased value for our shareholders. The actions we've taken with our balance sheet over the past 18 months coupled with the strong cash flow generated over the course of 2022 and expect it to continue this year, will provide us with a liquidity position that enables us to pursue multiple growth initiatives. On page 11, we show a summary of our key growth initiatives. As I mentioned earlier employee safety is our primary focus every single day followed by being good stewards of the environment and the reliability of our facilities. We continue to make improvements on all these fronts and have significant opportunities for further progress. The work completed at our El Dorado and Pryor sites during 2022 will advance our safety environmental and reliability initiatives. Additionally, we believe that over the next two years the capital investments we are making combined with the manufacturing initiatives we are pursuing should increase the operating rates at our facilities translating into a meaningful incremental contribution to our profitability. On top of that, we believe we can increase the production capacity of our plants through various debottlenecking initiatives. We are currently evaluating multiple potential projects that could significantly increase our production and sales volumes and our profitability. The increase in nitrogen production capacity would also assist with the USDA's stated goal of increasing domestic fertilizer production to ensure that farmers have security of fertilizer supply and can meet their increasing demands. In that regard at the end of December, we submitted our application for a federal grant under the USDA's $500 million fertilizer production expansion program. The maximum award under this program is $100 million. We believe we are a highly qualified applicant given our opportunity to increase our production capacity of our existing manufacturing assets in a more timely manner than any new build production facility. With respect to our clean energy initiatives, we continue to advance our blue and green ammonia strategy. The two projects we currently have underway, represent compelling opportunities for us to emerge as a leader in decarbonizing in our industry. Not only do our blue and green ammonia projects have the potential to result in a substantial reduction to our carbon footprint, but additionally we believe the economics of both could be very attractive. Page 12 provides an overview and an update on our blue and green ammonia projects. With respect to our blue ammonia project in El Dorado as we discussed in our third quarter call, the increase of the 45Q credit to $85 per ton of CO2 captured and sequestered has made the economics of this project very attractive. A critical step on our path towards commencing CCS and blue ammonia production is obtaining a permit to operate a Class VI injection well. I'm happy to say that earlier this week we achieved a milestone on this project as the application for the approval of a Class VI injection well was filed with the EPA. We have been told that the EPA review process could take between 18 months and 24 months. Based on that timing we continue to expect to begin capturing and sequestering CO2 at our El Dorado site in 2025. Our analysis indicates that once in operation, this project should reduce our company's Scope 1 carbon emissions by approximately 25%. Regarding our green ammonia project, we continue to expect that this project will qualify for the full $3 per kilogram of CO2 federal incentives for hydrogen production rolled out as part of the inflation Reduction Act and enable us to produce approximately 30,000 tons of zero carbon ammonia to sell to our customers. We have completed extensive work on our feasibility study of this project and expect to announce our plans for it by the end of the second quarter. To the extent we proceed as anticipated, we expect to begin producing some green ammonia in late 2024 early 2025. To sum up 2022, it was a year of significant highlights for LSB Industries. We capitalized on the favorable market environment to materially strengthen our balance sheet, while at the same time investing in our facilities to enhance our manufacturing capabilities. We entered 2023 with the expectation of a significant year-over-year increase in production volume given the absence of any turnarounds this year coupled with the opportunities we have to generate further volume improvements through the enhancements of our existing manufacturing footprint. At the same time, we will continue to position LSB Industries to be a leader in low-carbon no-carbon ammonia production. We expect these initiatives to collectively lead to increased profitability and greater value for our shareholders in the years to come. And I look forward to discussing our progress with you as we reach critical milestones in the development of our projects. Before I hand the call back over to the operator for the Q&A session, I'd like to mention that we will be hosting an Investor Day in New York on March 14 and we look forward to seeing many of you there. That concludes our prepared remarks and we will now be happy to take any questions. Thanks.
Operator: [Operator Instructions] Our first question comes from the line of Adam Samuelson with Goldman Sachs. Please proceed.
Adam Samuelson: Good morning, everyone.
Mark Behrman: Good morning Adam.
Cheryl Maguire: Good morning.
Adam Samuelson: Good morning. So, I guess, the first question relates to the nitrogen market. And I'd love to get your perspective on distributor buying and inventory in the spring application pretty rapidly approaches. It would seem like the channel in North America has been pretty reticent to make a significant tonnage. So how do you think to probably frame, how your order book is shaping up going into spring and where you might see pockets of demand that would be difficult for current supply to me?
Mark Behrman: Yeah. So you're right. It's been an interesting first few months of this year as pricing of natural gas in Europe is coming down, therefore, cost of production in Europe is coming down and that's obviously put pressure on prices. And so when that happens, when you see prices falling buyers generally tend to take a step back, thinking that prices continue to go lower. So I think it's been a bit of a standoff between producers wanting to sell the product at an opportune time, setting up for spring and then retailers and distributors sitting back and ultimately the farmer sitting back as well. As we head into spring, though, I think the weather is really at least at this point been very helpful. We've had some really good weather patterns. We've had some rain, which has also helped. And I think we're just starting to see the beginning of buying for this spring. And I would expect that over the next two to three weeks, we'll really start to see this kick off as we head into the planting season.
Adam Samuelson: That's helpful. And is there any differentiation there on ammonia versus UAN and I think it's been an interesting how on that basis certainly urea actually cheaper than the ammonia and some large [indiscernible] do you see any product switching resulting from that?
Mark Behrman: Well, we've seen some products switching to urea given that urea has been so cheap relative to other products. I think, India announced a tender yesterday. So I think that should give some support to urea prices. I think there'll be more demand in general. And as we start to see prices increase in urea, I think we'll see support for other pricing, other fertilizer products. So I think, again, I think we're in kind of -- we've been in a funny period where there's not much liquidity in the market. And as we start to see the liquidity and we start to see a lot of buying in the marketplace, I think that will support higher prices and you'll see urea prices I believe move up faster than both UAN and ammonia.
Adam Samuelson: Okay. And if I could squeeze in one more, Mark. You talked in your prepared remarks about an 18 to 24-month time line for the CCS Class 6 well permit at El Dorado. I mean, by understanding there's only one in on actual plastics, only one company that ever gotten plastic well permits approved or a whole slew than pending. So can you just help us think about the confidence level that you're getting on the timing of that approval process from EPA?
Mark Behrman: Yeah. So you're right. To date there is only one Class 6 permit that has been approved. It was a number of years ago and it was back in 2014 and it's an ADM site. So there are -- we're in the Region VI, which is the EPA office out of Dallas. So that includes Texas, Louisiana, Arkansas. So there are a number of permit applications that have been filed. We have been told and we took our time really developing the application, and our partner Lapis Energy, did a lot of work on the geology. And we did a good job, I think interacting with the EPA and really talking to them about what they really want to see. So I think, we feel really good about the application that we submitted, and we've been told that it is the most comprehensive application to date. And whether that's true or not, I don't know, but at least that's what we've been told. I think there is -- I believe there's going to be a lot of pressure from Washington on the EPA, to start moving through some of these applications and getting some approvals through, because it's a little bit -- it's kind of odd to me that, Washington is really incentivized folks to invest in carbon capture through the changes that they made in the IRA, yet they really haven't increased any budgetary allocations to the EPA, to add more staff. So, I think that's part of the problem. And I think the EPA is going to start to get a little pressure from Washington, because without getting through these permit approvals, they're not going to see the results that they want from the incentives, that they've put into the IRAs. So, I do think the 18 to 24 months is more an estimate by the EPA. So, could it go faster than that? It's possible. But I think we're kind of planning really, in that 18- to 24-month time frame. 
Adam Samuelson: Okay. That’s all we have. I’ll hop now. Thank you.
Mark Behrman: Thanks, Adam.
Operator: Our next question comes from the line of Josh Spector with UBS. Please proceed.
Josh Spector: Thanks for taking my question. Actually, just a follow-up on the blue ammonia on the time line there. So I mean, you're reiterating your plan to start that up in 2025, if the permit takes two years. Should we think about Lapis has built most of the infrastructure and sequestration equipment basically, in parallel to that. So that's a relatively quick turn on, or if it's two years, does that push out your time line until you start to see some of the benefits of that? 
Mark Behrman: It's a good question. I'm not going to say that, they're going to build a facility and sit there and wait and hope that we get the permit approved. But there are engineering design, is occurring as we speak. So there's investment in capital for that, long lead time items that are necessary. I would suspect that those will go on order. And so, by the time the permit comes, I think we've shortened the period of waiting until, we get the permit and then hitting the button to start the process. So I think, some things are done in parallel, but I don't believe that they're going to build a facility and just sit there and wait nor would I actually. 
Josh Spector: Okay. Thanks. And just on your industrial demand, I mean it's interesting, that you're talking about it as more stable. I mean, even in North America, a lot of the chemical derivatives are seeing pretty significant capacity reductions. So I'm just curious, how you could reconcile your demand for nitric and some of the other derivatives being stable, versus industry utilization is declining. Are you placing those tons elsewhere, or is there something else going on, that we're missing? 
Mark Behrman: No. I mean, I think one of the key aspects of our commercial organization is really optimizing where our products go. So while we're seeing -- we could see, some slowdown in demand in nitric, we certainly have the ability to some degree to ramp up AN production and sell products both as industrial and even high density, which is fertilizer -- should we, start to see some softening in our nitric market. But to date, we haven't seen that. 
Josh Spector: Okay. Thank you.
Operator: Our next question comes from the line of Andrew Wong with RBC Capital Markets. Please proceed.
Andrew Wong: Hi, good morning. Thanks for taking the questions, Just regarding the application to the USDA for some funding on capacity expansions, can you just talk maybe a little bit more about what the USDA is looking for and the kind of criteria they're looking for? I know there's different limits on like size and things like that. And then, just the timing on the decision?
Mark Behrman: Well, I'll work backwards. Your guess is as good as mine on the timing. I don't think they've ever announced what timing would be. I would tell you that, there were two submission periods. The first one was the latter part of November. And after about two months, they chose a number of projects that qualified for funding and then they opened up a comment period. The second window, which is what -- when we applied, was the end of December. So, I would hope that, it's the same two, two-and-a-half months. And by the end of this month or middle of March, we're hearing back from the USDA positively that our project is approved and we can go to the next steps. As far as what they were looking for, I think, the basic focus of the USDA was to increase domestic fertilizer production and to diversify it away from the top four producers in the US. So we're small enough that we're not a top four. We're number six producer in the US. So we qualify there. Our project is -- that we submitted, is really to expand our ammonia production at El Dorado, our nitric acid production at El Dorado and then, to build a urea plant and UAN facility. So ultimately that would increase our UAN production by about 600,000 tons a year. So that would be an upgraded product for us. As we sit back, that is one path that I think the team has come together and focused on. We've got a couple of other alternatives down at that site that we're evaluating as well. And so, it will be interesting to see if the USDA comes back and approves that project. And then we can have a conversation about them -- conversation with them about that project and maybe some modifications to that project, should we decide to do that.
Andrew Wong: Okay. And how does the funding work relative to potential cost to LSB? Like, is it a percentage or is it just something you negotiate with the USDA?
Mark Behrman: Well, their guideline says that they'll fund…
Cheryl Maguire: 25.
Mark Behrman:  -- up to 25% of the total cost of the project with a maximum of $100 million per project. Our project is a bit north of $400 million. So that would be $100 million max funding from the USDA. So I don't know that there's a negotiation on the percentage, because I think it's been stated up to. So that's what we're seeking.
Andrew Wong: Okay. Perfect. Thanks. And then just, maybe a question on just the market, in general. Looking at ammonium nitrate prices in the markets, it looks like they're holding up better than the other products, UAN, urea, ammonia even. Is that consistent with what you're seeing? And I'm talking the ag markets? And why might that be the case?
Mark Behrman: Yes, we are. So it is a premium on a nitrogen equivalent basis to some of the other products. It is a specialty product here in the United States. It's always been a premium product. And so, we're happy with where the pricing is today relative to the fertilizer products.
Andrew Wong: Okay. Thanks.
Operator: Our next question comes from the line of Vincent Anderson with Stifel. Please proceed.
Vincent Anderson: Yes. Thanks and good morning. I was hoping to kind of revisit that nitrate question one more time. If you could provide maybe a bit more detail on your flexibility there, because I know you've tried to deemphasize your mining exposure, but the HDAN product is pretty good from a margin perspective, if I recall. So could you just kind of quantify what you think is a realistic amount of nitric that could be redirected into those markets, if you really had to keep operating rates up?
Mark Behrman: Well, I mean -- so we've got the ability to produce about 150,000 to 160,000 tons a year of low-density ammonium nitrate. And we've got the ability to produce about 300,000 or 310,000 tons of high-density ammonium nitrate on an annual basis. And then of course -- and that's talking about our prilling or pelletized operations. I mean, before that you've got Ammonium Nitrate Solution. And we do sell some solution into the mining market as well. So I think we've got some flexibility should we see nitric demand drop off to upgrade that to ammonium nitrate, either in solution or prior. So we're not at those maximums. I mean, from a low density perspective. As I mentioned in my prepared comments, we are seeing really nice demand. So we are sold out there. We have some flexibility in our high density. And what we're also seeing which is kind of interesting is that mining clients are also gravitating to buying some high density as well and using that given the tightness in the low density market.
Vincent Anderson: Okay. No. That's interesting and helpful. Thank you. And then, I guess, just kind of going into this year, if you don't mind maybe discussing any high-level changes to your commercial strategy for UAN, given this will be your first time in a while with the CVR partnership, and maybe more importantly without CVR's logistics assets?
Mark Behrman: Yeah. So our Chief Commercial Officer has done a really good job in recruiting quality folks to lead our UAN effort. So we're excited about selling our product directly. I think, most companies would rather sell their product directly then use a distributor to distribute their products. So we're actually developing a lot more relationships than we've had in the past. We're going further than we have in the past. We're finding niches that maybe we hadn't sold into in the past. And so we think net-net that the advantage that we're going to get by selling the product ourselves should result in a higher netback. Now whether that materializes or not we'll have to play it out and see at the end of the year if -- in some type of analysis if we could kind of figure that out. But I think you mentioned CVR's logistics assets. We've got our own logistics assets that we use in all other parts of our business. So we did have to build a little bit and increase our railcar fleet to handle the additional UAN sales. But I think other than that, we're really happy with the efforts so far.
Vincent Anderson: All right, excellent. Well, good luck on the rest of the year. I'll pass it along.
Mark Behrman: Thank you.
Operator: Our next question comes from the line of Charles Neivert with Piper Sandler. Please proceed.
Charles Neivert: Yeah. I may have missed this. Have you guys other than first quarter where you gave us what your gas price looks like have you guys done any hedging beyond into 2Q through the end of the year? What price is that, or are we basically going to be spot market buyers going forward for the remainder of the year other than 1Q? And then, as a follow-up what is left in the share repurchase program that's currently outstanding? And I guess the intention given the way things are earning is that would probably get re-up, but where do we stand on both of those -- on that situation?
Cheryl Maguire: Good morning, Charlie. So we're about 25% locked in for gas for the second quarter around $550 million and then, 10% for the balance of the year for 2023 in that same kind of $5.50 to $6 range. Generally, we'll lock more gas in the winter months, because that's when you have the highest risk of price volatility. So I think going forward over the next call it six months, you'll just see us lock first of gas month first of month gas just to take out any volatility over the month. So that's generally our strategy from a gas purchases perspective. And with respect to the share buyback we are -- we fully exhausted that $175 million. And so that's kind of where we stand today.
Mark Behrman: Yeah. I would say that, given the cash flow generation that we're anticipating for this year you could see us implement another share buyback program and that's in discussions now.
Charles Neivert: Okay. Thanks. Everything else has been answered for me. Thank you.
Mark Behrman: Thanks, Charles
Operator: Our next question comes from the line of Rob McGuire with Granite Research. Please proceed.
Rob McGuire: Good morning.
Mark Behrman: Hey, Rob.
Cheryl Maguire: Hey, Rob.
Rob McGuire: Would you discuss the drought that's been occurring in the US the last couple of years and your expectation for an impact this year? 
Mark Behrman: So well extreme – there's been extreme droughts I'd say in the plains in the United States and that's pretty documented. Argentina suffered from really bad drought conditions as well. So I think both of those persist. And I think we're seeing in Argentina crops really suffering from those drought conditions. Conversely, Brazil has had some really good crop conditions and should REITs expected to reach record production both in corn and soybean. I think it could have an impact in more of an indirect way. So Drought conditions have also resulted in increased hay usage for cattle during non-winter months and that's especially in the northern and southern plants. So with US cattle prices expected to continue kind of an upward trend, we should see an increase in the production of cattle and ultimately hay as inventories are historically low today. So that points towards an upwards of probably 10% increase in hay acres planted and the potential of probably another 0.5 million tons of nitrogen demand from last year. So I think I don't know that it's going to have a severe effect in acres planted for corn or soybeans. I suppose, if we don't get any precipitation throughout the drought areas that it could have an impact. But we have seen some rain over the last two weeks to a month not enough. But I do think, it could have a positive impact on nitrogen demand based on demand for hay.
Rob McGuire: I appreciate that. And you mentioned the repurchase program get renewed here, but is it more attractive to reduce your debt or repurchase stock today?
Mark Behrman: That's a great question. It's something that I think we sit around the table and talk about, ultimately, we'd like to reduce debt some and bonds are callable in 2024, so next year. So it's September of next year. So I think either, we build a cash balance to then call some of the bonds at the call price or we repurchase additional shares of stock or some combination of both. So I think those are the discussions that we're having.
Rob McGuire: That's it for me. Thank you for answering my questions.
Mark Behrman: Sure. Thanks, Rob.
Operator: Our next question comes from the line of Brian DiRubbio with Baird. Please proceed.
Brian DiRubbio: Good morning. Just as I look at your key growth initiatives could you give me a sense of your priority on organic versus accretive acquisitions versus the low CO2 clean energy strategy?
Mark Behrman: Sure. So the way we think about the clean energy strategy. And the way, it's set up right now is the carbon capture project requires zero capital. So our partner is going to put up all the capital and then they're going to buy the CO2 from us. And obviously, we'll generate earnings from that. The green ammonia project will require capital. But I'd say relative to other capital projects or M&A activities they would not be significant. From the organic side, we've talked about the debottlenecking on this call. So I think – it will be interesting to see whether we get funds from the USDA for that project. As I mentioned, it's approximately $400 million to do that project. And that's at a high level. We certainly haven't done a deep feasibility study or an engineering study. But the big difference between $300 million for us and $400 million for us. As far as M&A activity in my experience you could identify assets that you think would be good fit strategically for your company but you never know when they become available. And so it's kind of hard to tell you from a capital standpoint how that fits in. I mean, if an acquisition came up that made sense for us and we thought it was a good strategic fit and we could buy it at a price that was accretive for us. That may trump something from an organic growth standpoint, because those kind of projects we can put on the shelf and then we look at them a year or two down the road whereas if something is for sale and you don't act on it more than likely it doesn't come up for sale for some period of time forever. I don't know to give you a flavor for that.
Brian DiRubbio : It does. And I guess probably not going to comment directly on this, but there is an asset that is up for sale and to sort of want to maybe get an understanding of sort of pursuing the Dyno Nobel plant in Waggaman versus some of these projects just as you think about that. 
Mark Behrman: Well, you're right. I'm not going to comment on a specific asset for sale or a process. I would just say that between myself and our Head of Corporate Development, our jobs are to go and look at assets strategically and see what's out there and if it would make sense for us. So some things for sale it's a good bit 0that we're taking a look at it 
Brian DiRubbio : Understood. And then just final question for me is you talked about the ammonia expansion $100 million maybe from the USDA and then the balance $300 million possibly plus. How would you think about funding of that? I mean, you did raise additional debt last year in a TAP transaction you're sitting on a fair amount of cash on the balance sheet today. Should we think about that cash as potentially funding that? Would you -- or is that something that you possibly fund down the road via the debt markets? 
Mark Behrman: No. I think that all things being equal that the organic expansion the debottlenecking that we want to do at El Dorado where we'd use cash on our balance sheet. We would not raise any additional debt to do that. 
Brian DiRubbio : Very good. Appreciate all the thoughts. Thank you.
Mark Behrman: Yes.
Operator: And our next question comes from the line of DeForest Hinman. 
DeForest Hinman : Hey, a couple of questions. Can you talk about your expectation for cash taxes either rate wise or dollar-wise in 2023? I still believe we have a pre-sizable NOLs that wasn't I don't think that was discussed. 
Cheryl Maguire : For us. No we have no material cash tax payments in 2023. 
DeForest Hinman : Okay. That's helpful. And then there's been a couple of questions on the capital deployment and maybe if you could just take a step back and just help people understand what's going on. You guys are kind of in a strange situation where you have a pretty sizable dollar balance of debt, but you at the same time have a pretty sizable cash balance simultaneously. You did a pretty sizable share repurchase authorization seemingly pretty attractive pricing. But if you look at the context of going to the capital markets and raising $200 million of additional debt and really not using it for anything. You're kind of getting a negative arbitrage by putting that debt on the balance sheet. So can you just help us understand the context? Was there a deal that we thought was going to happen and then it didn't happen? And if we're thinking about the cash balance going forward and the idea of debating share repurchases organic investments what's the appropriate level of dollar cash that should be on the balance sheet? So I'll pause there. 
Mark Behrman: Sure. Good morning. So yes, we did raise $200 million in March of last year. I'll just say that we thought we had a use of proceeds for that $200 million but it did materialize. As we sit here today, the negative spread on that as interest rates have moved up and we raised that additional debt at an opportune time is 3% or a little less than 3%, given where we've invested it. So I think it was – there was a purpose to do it but the fallback was we knew we had some internal projects and we knew that interest rates were also going up at the time. I mean I think the Fed really indicated that. And if you look back now, I don't know how many times the Fed's raised rates maybe five times, six times. So we would never be able to raise the debt at those levels today. So I'm kind of happy that we did it. We were disciplined in how we thought about using it. But now we've got it available to us. And I think someone earlier asked a question about how we would fund an expansion or debottlenecking and that would be with cash on our balance sheet, which would include the $200 million that we raised. So I think we've got the capital now and the where with all to really fund a number of different projects. To me that's kind of exciting. From a capital allocation standpoint and thinking about cash on the balance sheet versus debt versus stock buybacks I mean, first off I think, when we think about we refer to our smaller projects and Cheryl talks about margin enhancement projects. All of those projects that we've elected to move forward on all have minimum IRR and many of them are higher than that. So there is a hurdle rate to investing in those projects. I think we bought back about 13 million shares of stock. So we actually reduced our float by our outstanding shares by about 15%. So I think that was attractive for us last year. As we move forward, I think we just have to balance, where do we think we're going to generate the highest ultimate shareholder return, whether it's investing in our internal projects, buying back stock or ultimately reducing some debt. So I don't think it's anything different than most other companies go through, where they're really thinking about what's the best use of that cash and is going to give the best long-term returns to our shareholders.
Deforest Hinman: Okay. That's helpful. And then just when we're thinking about the submission for the grant proposal, is there any sort of color inside of that document that says, if we're going to get x amount of grant look at our balance sheet, we already self-funded this other portion of it, our project is better than someone else that maybe has like – I'll use the word hypothetical. They have hypothetical funding from a third-party. I mean is that part of submission? Does that mean for the next six months, we have to have a certain amount of cash on the balance sheet? 
Mark Behrman: So that's a great point. And yes, it was actually a point that we stressed in our application that unlike a lot of other projects that might seek funding in addition to the USDA grant. We've got the cash in our balance sheet. So, if a project is $400 million and we need to invest $300 million of our own dollars. It's sitting there waiting to happen. So, I think that is a differentiator. We believe it is. So, I would hope that that really comes into play. So not only can we move faster because we're debottlenecking an existing facility rather than building brownfield or greenfield, but we don't have to worry about raising capital. It's sitting there ready to invest. So, how long does it have to sit there? I would imagine that, if we hear a positive feedback from the USDA that ultimately, if we're lucky enough that they're going to grant us $100 million once the grant happens, I'm not sure that we have to keep cash on our balance sheet. I think cash is fungible. We're also generating a fair amount of free cash. So, I don't really see that as an issue. I didn't address one question that you had asked earlier and that was about minimum cash balance on our balance sheet. I think internally, we've determined that ultimately, we'd like to keep $100 million of cash on our balance sheet. I think, it's prudent to do that given price volatility, not of our selling prices, but also the price of natural gas. And so that could have an impact on margins.
DeForest Hinman: Okay. Thank you so much for taking the questions.
Operator: Thank you. We have reached through the end of the question-and-answer session. I'd like to turn the call back to Mark Behrman for closing remarks.
Mark Behrman: I want to thank everyone for joining the conference call and for your interest in LSB Industries. Hopefully, you see that we've accomplished a lot so far. We've got high expectations of what we're going to accomplish in 2023 and we've got a lot of opportunity for beyond 2023. I hope to see you all at our Investor Day. Thanks so much.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.